Operator: Good morning, ladies and gentlemen, and welcome to the First Interstate BancSystem Inc. Fourth Quarter Earnings Conference Call. [Operator Instructions] This call is being recorded on Thursday, January 29, 2026. I would now like to turn the conference over to Nancy Vermeulen. Please go ahead.
Nancy Vermeulen: Thanks very much. Good morning, and thank you for joining us for our Fourth Quarter Earnings Conference Call. As we begin, please note that the information provided during this call will contain forward-looking statements, and actual results or outcomes might differ materially from those expressed by those statements. I'd like to direct all listeners to read the cautionary note regarding forward-looking statements contained in our most recent annual report on Form 10-K filed with the SEC and in our earnings release as well as the risk factors identified in the annual report and in our more recent periodic reports filed with the SEC. Relevant factors that could cause actual results to differ materially from any forward-looking statements are included in the earnings release and in our SEC filings. And the company does not undertake to update any of the forward-looking statements made today. A copy of our earnings release, which contains non-GAAP financial measures, is available on our website at fibk.com. Information regarding our use of non-GAAP financial measures may be found in the body of the earnings release, and a reconciliation to their most directly comparable GAAP financial measures is included at the end of the earnings release for your reference. And again, this quarter, along with our earnings release, we've published an updated investor presentation that has additional disclosures that we believe will be helpful. The presentation can be accessed on our Investor Relations website. And if you have not downloaded a copy yet, we encourage you to do so. Please also note that as we discuss our financials today, unless otherwise noted, all of the prior period comparisons will be with the third quarter of 2025. Joining us from management this morning are Jim Reuter, our Chief Executive Officer; David Della Camera, our Chief Financial Officer; and other members of our management team. And now, I'll turn the call over to Jim Reuter. Jim?
James Reuter: Thank you, Nancy. And good morning, everyone, and thank you for joining us on our call today. Over the course of 2025, we made meaningful progress to improve core profitability, refocus capital investment and optimize our balance sheet through reorienting our footprint to geographies where we have brand density, strong market share and high potential for growth. We announced branch divestitures in Arizona, Kansas and Nebraska, outsourced our consumer credit card product and discontinued originations in indirect lending. We have intentionally allowed certain larger transactional loans to run off in favor a disciplined effort to grow full banking relationships. That includes deposits, loans and corresponding fee generating services. These strategic actions among others we have taken have generated capital for us over the past year. In August of 2025, we announced a share repurchase authorization and began executing under that plan repurchasing approximately 3.7 million shares through year-end for a total of approximately $118 million. Our Board has approved an incremental $150 million share repurchase authorization bringing the total authorization to $300 million to provide further capacity to continue executing under that plan. Additionally, our balance sheet remains strong and flexible. We reduced our other borrowed funds from $1.6 billion at the end of 2024 to 0 at the end of 2025. Throughout 2025, we maintained a proactive approach to credit, and we are now beginning to see favorable results in our reported credit quality. Following stabilization in the third quarter, credit quality metrics improved in the fourth quarter. Criticized loans decreased by $112.3 million or 9.6% in the fourth quarter and non-performing assets decreased by $47.3 million or 26%. Net charge-offs were elevated in the fourth quarter driven by one larger credit for which we had already set a specific reserve of $11.6 million. For the full year of 2025, net charge-offs were 24 basis points of average loans, which is in line with our long-term expectations. We also continued to execute on our ongoing branch network optimization, focusing our capital deployment in markets where we have existing density or high growth potential. We closed on the sale of our branches in Arizona and Kansas in the fourth quarter, exiting those states. Subsequent to that transaction, in October, we announced the sale of 11 branches in Nebraska, which we expect to close early in the second quarter of 2026, and we will consolidate four additional branches in Nebraska in February. The company will have 29 branches remaining in Nebraska after the pending sale in closures. We will also close the single branches we have in North Dakota and Minnesota in the first quarter, which will consolidate our footprint from 14 states to 10 contiguous states. To drive profitable organic growth, we have made a series of investments, including building out a new commercial banking team in Colorado, and we have new branch openings underway in the state of Montana. We have a new fully operational branch in Columbia Falls and another branch opening soon in Billings. We are also relocating one of our branches in Sheridan, Wyoming to a location that will better serve the needs of our customers in that market. The full optimization of our remaining 10 states is an ongoing effort as we perform state-to-state reviews. In the fourth quarter, we began a transformation of the banking organization. We are changing the organization from a layered, regional and market structure to a flatter model. Our new State Presidents represent high performers, a majority of which are from within bank and select external talent, bringing proven track records of expertise, energy and strong commitment to our institution. We believe the combination of the right internal and external talent will support our growth. Along with other talented leaders throughout the organization, these leaders will play a critical role in our drive to allocate our resources as efficiently as possible for profitable organic expansion, focusing on areas where we have density or potential for growth. This new, more streamlined chain of responsibility is designed to speed up our local decision-making processes and align the decision framework with our organic growth and return on capital discipline. We expect this redesign to be nearly complete in the first quarter, and we view it as a significant driver of our expectation for improved organic growth. Loan balances declined during the year due to a variety of factors, including intentional non-relationship loan run-off, branch transactions, indirect lending run-off and the outsourcing of our consumer credit card product. Additionally, as we have discussed in prior quarters, production was lower than initially estimated during the year. This is partially influenced by continued competition in the market, both on a spread and credit basis. With that said, we are optimistic that the recent actions we have taken, most specifically the banking organization redesign will drive increased activity. Our net interest margin also continued to improve in the fourth quarter as we saw more sequential improvement in the spread between loans and deposits, and we continue to reinvest lower yielding cash flows from our investment portfolio. Our FTE net interest margin, excluding purchase accounting accretion improved 4 basis points in the fourth quarter, increasing from 3.3% at the end of the prior quarter to 3.34% at year-end. That level represents a 26 basis point increase from the fourth quarter of 2024. Our organic growth focus, elevating best-in-class talent from within, while adding select external talent and serving our customers with what they typically expect from a large bank, but with a personal community-oriented purpose, is designed to create a competitive advantage for us over the long term. And with that, I will hand the call over to David to discuss our financial results in more detail. David?
David Camera: Thanks, Jim. I'll start with our results for the quarter. The company reported net income of $108.8 million or $1.08 per diluted share in the fourth quarter compared to $71.4 million or $0.69 per diluted share in the third quarter. Net interest income decreased by $0.4 million compared to the prior quarter or 0.2% to $206.4 million. Net interest income decreased $7.9 million or 3.7% compared to the fourth quarter of 2024, primarily due to a reduction in earning assets and a reduction in the yield on earning assets. These effects on NII were partially offset by a decrease in interest expense on other borrowed funds. The closing of the Arizona and Kansas branch sale in early October, drove a decline in interest-earning assets in the fourth quarter of 2025. Yield on average loans decreased 1 basis point to 5.67%. Total deposit costs declined 5 basis points and total funding costs decreased 10 basis points, all compared to the third quarter. Our fully tax equivalent net interest margin was 3.38% for the fourth quarter compared to 3.36% during the third quarter and compared to 3.20% during the fourth quarter of 2024. Excluding purchase accounting accretion, the adjusted FTE net interest margin was 3.34%, an increase of 4 basis points from the prior quarter. Non-interest income was $106.6 million, an increase of $62.9 million from the prior quarter, driven by a gain on sale of $62.7 million associated with our divestiture from Arizona and Kansas. Non-interest expense was $166.7 million for the fourth quarter of 2025, an increase of $8.8 million from the prior quarter. This includes $2.3 million of costs associated with branch closures in Nebraska, North Dakota and Minnesota. Severance expense totaled $4.2 million during the quarter and was related primarily to the redesign of the banking organization and branch closures. Incentive accruals in the fourth quarter increased by $5.6 million compared to the prior quarter. Turning to credit. Net charge-offs increased by $19.8 million to $22.1 million, driven mainly by one credit for which we had an $11.6 million specific reserve. As Jim mentioned, for the full year of 2025, net charge-offs were 24 basis points of average loans. Total provision for credit losses was $7.1 million for the fourth quarter. Criticized loans decreased $112.3 million or 9.6%. Our total funded provision decreased to 1.26% of loans held for investment from 1.30% in the third quarter. Moving to the balance sheet. Loans decreased by $632.8 million in the fourth quarter, which included $62.8 million of continued amortization of the indirect portfolio and $72.5 million in loans moved to held for sale as a result of the Nebraska branch sale as well as larger loan payoffs, which included some criticized loans. Total deposits decreased $516.7 million to $22.1 billion as of December 31, 2025, driven by the sale of $641.6 million of deposits in the Arizona and Kansas transaction. Excluding sold deposits, deposits increased in the quarter. The ratio of loans held for investment to deposits was 68.8% at the end of the quarter compared to 70.1% at the end of the prior quarter and 77.5% at the end of December the prior year. We repurchased approximately 2.8 million shares in the fourth quarter, totaling approximately $90 million and repurchases since initiation of the program in August totaled approximately $118 million. Our regulatory capital ratios continued to improve in the fourth quarter, driven by a reduction in risk-weighted assets related to the Arizona and Kansas divestiture, the decline in loans and higher net income due mostly to the closing of the branch sale, partially offset by our deployment of capital through share repurchases. In the fourth quarter, we returned approximately $138 million of capital to shareholders, consisting of $90 million from the repurchase of shares and $48 million in dividends. Tangible common equity was approximately flat in the period, and tangible book value per share increased 2.9% in the fourth quarter to $22.40 per share. We continue to view share repurchases as our immediate capital allocation priority in addition to our ongoing focus on organic growth, which provides us the opportunity to drive EPS growth in excess of net income growth. We have increased our share repurchase authorization by $150 million to $300 million and roughly $180 million of capacity remains under the program. Finally, we declared a dividend of $0.47 per common share, which equates to a 5.7% annualized yield based on the average closing price of the company's common stock during the fourth quarter. Our common equity Tier 1 capital ratio ended the fourth quarter at 14.38%, an increase of 48 basis points from the prior quarter. Our leverage ratio was 9.61% at the end of the fourth quarter compared to 9.60% at the end of the prior quarter. Moving to our guidance. Our guidance includes the impact of the sale of 11 branches in Nebraska and the closure of 6 additional branches in Nebraska, North Dakota and Minnesota, while excluding the anticipated gain on sale related to the Nebraska branch sale. For reference, the North Dakota and Minnesota branches totaled roughly $30 million in combined deposits at the end of 2025. Starting with our balance sheet. We are including an assumption of low single-digit deposit growth for 2026 with normal seasonality. Turning to loans. Our guidance assumes an assumption of roughly flat to slightly lower total loans for 2026, excluding the continued run-off of our indirect portfolio, which will contribute an additional 1% to 2% in total loan decline. Our guidance has an underlying assumption that loans declined in the first half of the year while modestly growing in the back half. As we have outlined in our investor presentation, we anticipate an increased quantity of lower rate loan maturities over the next couple of years. This provides us a powerful reinvestment dynamic, and we believe it protects our net interest income dependent on a supportive rate environment. The pace of our NII expansion will be dependent upon our ability to renew and/or add new customer relationships to the bank. We are optimistic about our ability to see success here, and we'll continue to exercise discipline, ensuring that assets placed on our balance sheet are accretive to our return profile. We also continue to expect sequential improvement in our net interest margin given the expectation for improving spread between loans and deposits and due to the loan repricing dynamic and continued amortization of lower-yielding investment securities. To discuss timing in 2026 specifically, as we look to the first quarter due to fewer accrual days and the expectation for normal deposit seasonality in the first quarter, our guidance, as displayed includes an assumption that reported NII is approximately 3% lower in the first quarter than the fourth quarter level of 2025. Moving to expenses. We anticipate approximately flat to slightly lower expenses in 2026 compared to the reported full year 2025 level. We continue to exercise discipline across our controllable expenses to support reinvestment and growth initiatives. Our guidance assumes reinvestment into the business, such as the addition of relationship managers to our teams, the new branches we discussed previously and increasing our advertising expenditure as compared to 2025 levels. We also anticipate normalization in medical insurance expense in 2026, and our guidance includes an assumption that total 2026 expenses are about 1% higher due to this normalization. With that, I'll hand the call back to Jim. Jim?
James Reuter: Thanks, David. And as we look to 2026, we are in a position of strength. Our strong balance sheet and capital position, disciplined approach to credit risk management, focused franchise and redesigned banking organization positions us for success as we continue to execute our client-first community banking strategy. And now, I would like to open up the call for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Jeff Rulis with D.A. Davidson.
Jeff Rulis: I wanted to check in on the -- just the loan balances. And Jim, just kind of bigger picture, I guess, if you exclude the branch sales, the indirect runoff, I think maybe the under toe of other runoff is maybe greater than maybe perceived kind of mid last year. It sounds as if that was sort of a production issue. And I know, Jim, one of the tenets of your approach is sort of motivating rallying that organic growth. Just to try to course correct on maybe the other runoff is that we've got the guide for this year, but I wanted to check in on maybe what you've seen in '25 versus kind of as we entered it from a production standpoint?
James Reuter: Jeff, that's a good question. If you peel it back, a good portion of the decline in loan balances are related to payoffs of criticized loans, which we consider that to be good news. And/or you're right, there's some larger loans in there that were financed in the secondary market, but that was the intention of those loans when they were originally booked. I would put out or point out that even with the decline in loans, our deposits went up over $100 million, net of the sale of Arizona and Kansas. So I think that shows you that the loans leaving are not significant relationships with big deposits. We did see improved loan production in the month of December and some parts of the footprint. As I've talked to folks, we have some good pipeline activity. I also mentioned in the opening comments, the re-org of the banking organization, which I consider a very important catalyst for growth. It's a flatter org structure. We have, have more people in production roles, faster decisions and, frankly, a better client experience. We also added some new team members in Colorado, where we see a real good opportunity for growth. And with that said, I will tell you, Jeff, the adjustments to our credit culture in 2025 and the most recent reset of the banking org has in the short-term impact of new loan production. But from my past experience, it gives me confidence because the model we put in place, which combines disciplined credit management and a flatter and powered accountable leadership team has led to good organic growth. And when you combine that with our more focused franchise and brand density and growth markets, it gives me confidence in our ability to produce more in 2026.
Jeff Rulis: Appreciate it. And David, just on the margin, maybe check it back in, I think there was a somewhat of an assumption of maybe approaching 3.5% or north of that by the end of '26. Could you -- it sounds like maybe Q1 we're treading water. I don't want to put words in your mouth. We got the NII guide. But the pace of margin expansion still left to go, at least for this year? Any commentary there?
David Camera: Yes. Sure. Good morning, Jeff. So, a couple of comments there. I think we still see kind of north of 350 by year-end '26. So really no change there. The mix is a little bit different in the short run, given the change in loans, but trajectory, we still see the same way. We still think of it as sequential margin improvement every quarter. Our first quarter commentary on NII, that's really driven by as noted, the lower accrual days and also lower average balances quarter-over-quarter on the deposit side, so a little bit lower on the earning asset side. But on an underlying basis, we expect NIM to be higher in the first quarter than it is in the fourth quarter.
Jeff Rulis: Okay. And David, the pace over the course of the year to get to that, I mean, a moderate increase in Q4, we shouldn't read into the fact that -- I guess, that would suggest greater expansion from the metric over the course of the year to get north of 3.5%. Is that fair?
David Camera: Yes. So we're starting the 3.34x purchase accounting in the fourth quarter. So kind of in that 5-ish basis point range a quarter, we'll have -- obviously, it will be a little bit different each quarter, but something like that sequentially is how we're thinking about it. That's right.
Operator: Your next question comes from Matthew Clark with Piper Sandler.
Matthew Clark: Just a little more on the margin there. What kind of reinvestment rates are you getting on new loans and securities these days?
David Camera: Yes, sure. So, on the security side, we talked last quarter, a 5-year plus 80% to 90%. That's come in a little bit in recent periods. So we think of that more in the 5-year plus 60% to 70% on that side. And then on the loan side, new production kind of in the low to mid-6s is kind of on a weighted average basis, it will of course be composition dependent. But somewhere in that range is what we're seeing.
Matthew Clark: Okay. And on the buyback, you bought over 75% of the $150 million that you authorized in two quarters. You've got a new one now. CET1 up to 14.4%. And I think you've mentioned in the past that you don't want to run with capital in excess of peers. So, is it fair to assume that we'll see a similar cadence of buyback activity here this year?
David Camera: Yes. I think like you mentioned, we said last quarter, we want to approach that peer median over time. And I think we mentioned capital will lag the balance sheet movements a little bit. So that will continue to happen. But as you noted, we've been meaningfully executing there, and we plan to continue executing. Of course, pace will be dependent on market conditions and things like that, but we absolutely intend to be -- continue to be active on that buyback.
Matthew Clark: Okay. And then last one for me on criticized, down 10% this quarter. How much more improvement do you think you can make this year? Do you have any line of sight on kind of how much of a reduction we might see and the timing around that?
James Reuter: Yes, Matt, that's a good question. Credit is a living, breathing part of a bank. Our proactive approach, I think you've seen for the last two quarters has stabilized that and trended it down. But for me to make absolute predictions, there's a lot of assumptions in that. But you can expect us to continue to make good progress. That's the best I can say on that.
Operator: Your next question comes from Kelly Motta with KBW.
Kelly Motta: Maybe turning it around to the expense side of things. Q4 was impacted by several different kind of noisy year-end items and some one-timers. Can you -- as we look to 1Q, with your guide kind of assuming flattish expenses year-over-year, wondering kind of what's a good jumping off point in 1Q? And then as we think ahead and kind of consider the glide path through the year, how should we be thinking about the cadence of expenses off of that and the puts and takes?
David Camera: Yes, sure. So to your point, a number of moving parts, I think to specifically answer that, we think expense seasonality is actually relatively flat next year given some of the timing on taxes in the first quarter, offsetting kind of the normal merit and other increases as we go through the year. So, kind of the underlying assumption, if you were just to use the midpoint of the expense guide would kind of be that $159 million to $160 million range each quarter.
Kelly Motta: Okay. That's really helpful. And then kind of with the loan outlook, like as was mentioned by another analyst, I think the balance is lower than maybe what we had expected. In terms of your guidance, for next year. Obviously, some of the reduction in loan balances is payoffs of criticized, which is good. Does your guidance contemplate additional room for payoffs? Or should that continue to occur, which would obviously help your credit, could there be downside to that loan number?
David Camera: Sure. So I'll make a couple of comments on that. I think broadly, the short answer is, yes, we are assuming that we do see some larger payoffs within there. And again, I think our view is the first quarter, we see lower loans and then optimistic about some modest growth as we get into the back half of the year. But our underlying assumption does include we think we'll see some more larger payoffs within that.
Operator: Your next call comes from Andrew Terrell with Stephens, Inc. Andrew, go ahead.
Andrew Terrell: I wanted to follow up just on the criticized point. I think, Jim, you mentioned earlier, just a lot of the payoffs we've seen over the past year have been on criticized loans. But when I look at just criticized balances overall, I mean they're basically flat to where we started this year. They're still off relative to 2024 levels. I guess I'm curious what's driving kind of the refill in that bucket? And I guess, do you feel like you've worked through everything at this point and we should just see balances moderate from here?
James Reuter: Yes, Andrew, that's a good question. So when I was talking about criticized going down, it's specific to this quarter, loans move from watch to criticized -- and I just want to reiterate what criticized is. I mean it's basically a loan, we feel good about the underlying collateral, the guarantors, different things, but it's missed some of its targets. And so, we're taking that proactive approach to managing credit, which I think you can see it produces good outcomes. So that's what you'll continue to see from us, Andrew, but there will be movement up and down. But if you look at the overall trajectory, it's going in the right direction. I'd also say new loans and renewals, we have a really good process in place with a loan committee. We're making fast, good decisions and everybody is on the same page. So kind of back to that loan production question that was asked by Jeff at the beginning of the call, that clear direction of what we want to do is given our bankers even more confidence as they're out talking to customers about what we can and can't do. But I feel good about our credit culture today.
Andrew Terrell: Yes. And then, I wanted to ask more specifically on just -- I mean, it sounds like loans down a bit, in the first quarter. But you're optimistic about kind of back half. But then you also referenced just the level of competition, you mentioned credit rate-related competition, maybe some slower production from the team than kind of what you're expecting. So I'm just trying to figure out kind of what's driving the back half of the year optimism around production and kind of net growth increasing?
James Reuter: What drives my confidence is I talked about the banking re-org and the structure we put in place. And we did a lot of things, Andrew, in 2025 to recalibrate and change our approach to the business. And I feel like those things are pretty much behind us, and we can go on the offense at this point in time. We are seeing increased competition on rates and terms and things. And I will tell you, we're not going to grow for the sake of growth. We're going to put on disciplined credits that are profitable because that's what will ultimately enhance long-term shareholder value. We're 20 years without a credit cycle. And so, I just think discipline matters and I would say that's where gray hairs and some years of experience probably are beneficial today.
Andrew Terrell: Yes. And just one last one, just to confirm on the guidance, the expense guidance, $630 million, $645 million for the year that does incorporate -- any actions from sold or closed branches net of reinvestment? I just want to make sure that's an all-in guide.
David Camera: That's correct, Andrew. All the figures displayed in the guidance assume that the Nebraska branch transaction closes early in the second quarter.
Operator: Your next call comes from Jared Shaw with Barclays. Please go ahead.
Jared David Shaw: Maybe just looking at the -- more specifically the markets that you do like versus the ones that you're exiting when you look at like Colorado, do you feel that you have the overall physical footprint you need there? Or is there an expectation that you could potentially reinvest some of the savings into adding a few locations? And then you talked about hiring some teams there. What's the -- what's sort of the outlook for continued hiring going forward?
James Reuter: Yes, Jared, that's a good question. I'll speak to the overall franchise and footprint. When you look at Page 5 of our investor presentation, I think when you look at that map, it looks very logical, they're contiguous. And specifically -- and you also look on the bottom of that page, you'll see we're in markets that have better growth prospects than the national average. So, we feel good about the overall footprint. To Colorado specifically, we do have the branch network we need right now. And we've also built out a really strong team that I'm confident is the right team, and they're seeing good activity, and they're on the ground calling on customers, building relationships. We will look at some additional locations in Colorado as we will, throughout the rest of our footprint. I mentioned in the opening comments, a new location in Billings. And then we're actually -- the relocation of the branch in Sheraton is branch #1 for First Interstate Bank and we built a new facility with better visibility and to better meet our customers' needs. But Colorado continues to be an exciting opportunity for us, and I like our chances and like the team we have there.
Jared David Shaw: And then just, sort of, sticking with the Colorado. As you look at growing there, are you -- is this going to be full relationships, sort of, at the beginning? Or are you going to be leading with loan growth and it's going to take a little while for deposit growth to backfill in your mind?
James Reuter: As I've said from, I think, almost earnings call day 1, it will be focused on full relationships. But with that said, Jared, I know from experience that sometimes you make your first loan, you build the relationship and you deliver, you get some deposits and then over time through your consistent execution, you get the full relationship. So, I'm not naive to think that day 1, you get everything. So, it will be a mix of leading with some loans, but with the eye towards getting deposits and full relationships.
Operator: Your next call comes from Timur Braziler with Wells Fargo.
Timur Braziler: Can you give us a sense of the $3 billion of loan maturities and resets over the next 2 years? What portion of that $3 billion would you characterize as sort of non-relationship?
James Reuter: Yes, Timur, I think we think about relationships a couple of ways. I mean, there's the loans that today we have the full relationship and then there's some where we have an opportunity to develop a full relationship. So everything is going to be situationally dependent. And as you look at those loans, the rate coming off there is some new production. And obviously, we'd want to deploy those into higher-yielding assets. But I think holistically, we have some downside protection to net interest income. And then of course, as we -- as we're optimistic about additional loan production, we're looking to replace that with market assets. But every loan that comes due gives us an opportunity to either expand or retain their relationship.
Timur Braziler: Okay. And for those that you're looking to retain that have come up to date, just the competitive landscape for being able to keep those on your own balance sheet. I mean, are you getting a little bit of a home field advantage given that these are already your customers to begin with? Or do you feel as though it's kind of full fisticuffs and in terms of battling to keep these clients on board?
James Reuter: Timur, it really depends. I will tell you that we had a few more in this last quarter that their intention from day 1 was to go to the secondary market. And so, that's going to be hard for us to compete with. But on a go-forward basis, like David said, our goal is to expand the relationship. And if we don't get that completely done with this loan, that doesn't preclude us from renewing it, because like I said in the earlier comment, sometimes you have to do a couple of things for a customer before they're like, okay, I want to bring everything over to you.
Timur Braziler: Yes. Okay. And then just one more for me on credit. The charge-off wording still includes long-term charge-off guidance of 20 to 30 basis points. I'm just wondering what does this imply that there is maybe some more variability here in the near term? And just that in the context with the allowance ratio, we saw a little bit of release here as you had a specific credit kind of charged off. How do we think about those two components?
David Camera: Yes, Timur. I think, a couple of things. So from an allowance coverage perspective, relatively similar quarter-over-quarter total funded ACL, but of course, an improvement in NPL coverage. So that ticked up during the quarter. And I think as we think about that coverage going forward, I think as we said before, it's kind of situationally dependent based on fact and circumstances of each quarter. As Jim said, we're optimistic for credit improvement. But each quarter, the committee and -- and internally, we look at facts and circumstances and determine what's appropriate at that time.
Operator: Your next call comes from Tim Coffey with Janney.
Timothy Coffey: Jim, a question for you on kind of what is a targeted long-term loan-to-deposit ratio?
James Reuter: That's a good question. Obviously, we're lower than our peers right now. We like that flexibility. And I think that actually speaks to one of the strongest aspects of First Interstate, which is a low-cost granular deposit base. Long term, I don't really like to set a target. I can tell you it's north of where we are today, because I think to the extent we can find high-quality loans at the right price, that's our preference over investment securities. But we would like it higher than it is today. That's probably the best answer I can give you right now.
Timothy Coffey: Okay. And then more near term, do you anticipate the exit loan deposit ratio in '26 will be higher than where it is right now?
David Camera: So, I think just our underlying guidance says loans down slightly and deposits up slightly. So all else equal, we view it as slightly lower in the near term and then would just echo kind of Jim's comments on the longer term as we kind of look to grow the book.
Timothy Coffey: Okay. And then a question about the fee income guide. What are some of the puts and takes in that?
David Camera: So, I think, it implies some modest growth year-over-year, kind of puts and takes modest impact from the reduced branches, just lower associated customer activity there. I think longer term, we think there's opportunities in some of the underlying areas such as swap fees and things like that. But we're not assuming material acceleration in those type of items in 2026. As we kind of grow the full relationship banking, we're optimistic about areas like TM, long term, et cetera. So a couple of different areas that we're very focused on.
Operator: One more question. We have a question from Jeff Rulis with D.A. Davidson.
Jeff Rulis: Yes. Just maybe fair or unfair. I just wanted to check into initial thoughts on maybe '27 on three fronts. It seems like a lot of momentum would be building on the margin and the loan growth front. Just your thoughts on the trends as it rolls into '27 on those two areas. And then, you touched on the buyback. I know we're, if you got a flat balance sheet into growing capital, if you've got any commentary as you get into '27 on those trends would be helpful.
David Camera: Sure, Jeff. I'll start on kind of the margin. I think given the cash flow profile, what's rolling off the balance sheet, we continue to think margins sequentially improved in '27. Obviously, that's a little bit with out, and it's going to depend on the rate curve at that time. But broadly, we would continue to expect improvement and the cash flow profile from loans is actually a little bit more favorable in '27 and then continued favorability in the investment cash flow profile based on what we see today. From a capital front, I think I'd just reiterate capital is always an ongoing conversation. I think we've demonstrated and we'll continue to demonstrate our approach there to enhance shareholder value. So we'll continue to look at that as time goes on and ensure we have the right capital stack to support the company.
James Reuter: And Jeff, as to loan growth, David touched on this, that we show a slight decline in the first part of the year and then leveling off and picking up towards the end. So, our hope would be we'd be building on that in '27. But, if you have a crystal ball as to the economy and what it's going to look like in '27, I'd love you to send that over to me because that would give me more confidence of what to predict. You look at the job numbers. And while unemployment is somewhat stable, new jobs actually haven't been that great. And then yesterday, the Fed gave some mixed reviews, which they're good at doing these days and understandably so. But assuming what we project in '26 happens, we would expect to build on that into '27, Jeff.
Jeff Rulis: Yes. Thanks, Jim. I know that was more bank specific understanding the macro swings. So thank you. Appreciate it.
Operator: There are no further questions at this time. I will turn the call back over to Jim Reuter.
James Reuter: Thank you, and thank you, everybody, for your questions today. And as always, we welcome calls from our investors and analysts. So, please reach out if you have any follow-up questions, and thank you for tuning into the call today, and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating, and you may now disconnect.